R. Cousins: Okay, are we ready? Good morning, and thank you for joining us. Today, we have the usual agenda, and there'll be plenty of time for question and answers at the end.
 Before Johnny takes you through the financial detail, I'd like to begin by making a few comments on the business highlights. I'm pleased to report that Compass has delivered another strong set of results. Organic revenue grew by 5%. We worked hard to drive growth in the business, and the consistency of delivery is encouraging. Operating profit on a constant-currency basis grew by 5.6% and our operating margin, including restructuring costs, was flat as expected. Free cash flow was up by an impressive 26% due to currency and better cash conversion. EPS on a reported basis was up by 14% but more honestly, constant currency earnings per share were up by almost 8%, and we're proposing to increase the dividend by the same amount.  
 And on that positive note, I'd like to hand over to Johnny. 
Jonathan Thomson: Thank you, Richard. Morning, everyone, good to see you all. So on the first slide, let's start by looking at revenue, and looking from left to right, sterling's weakness against all of our major trading currencies benefited revenues by GBP 882 million, which gives us a rebased 2015. North America grew organic revenue by 8.1% in the year. Encouragingly, growth continues to be broad-based across almost all sectors. New business wins were excellent, particularly in B&I, Canteen and Healthcare. Retention remained high at 96.3%, and like-for-like volumes were very good in Sports & Leisure. 
 We're pleased with our progress on growth in Europe, from minus 2.4% in 2013 to plus 2.2% last year and 2.8% this year. New business wins were strong, and we are working to improve retention. Our fourth quarter growth rate, however, was slower, impacted by the closures of some contracts and challenging Sports & Leisure comps in the U.K. Rest of the World, excluding Offshore & Remote, grew by 3.6%. Good performances in New Zealand, Asia and Spanish-speaking Latin America were offset by continued volume weakness in Brazil. Our Offshore & Remote business contracted by 10%. The decline in Australia accelerated in the second half as large construction projects come to an end. This trend will continue into 2017. Taking all of these movements together, group organic revenue grew by 5%. 
 I'm going now to talk now about phasing. Our growth rate of 4% in the second half of 2016 reflects the expected decline in Australia, an annualized 60 basis points impact on the group's growth and the slowdown in Europe. We expect full year 2017 to be at the bottom of our 4% to 6% range, with growth weighted to the second half as the comps unwind.
 Let's now look at operating profit. Starting on the left of the chart, FX was a GBP 72 million benefit to operating profit. The strong performances in North America and continued improvement in Europe increased operating profit by GBP 85 million and GBP 10 million respectively. In Rest of World, a decline of GBP 26 million in Australia dominated the operating profit performance despite GBP 5 million of improvement elsewhere. Taking all these movements together, constant currency profit growth for the group was 5.6%.
 Moving on now to operating margins, in North America, margins were flat. Positively, we continue to drive efficiencies and benefit from overhead leverage. This allowed us to offset the high mobilization costs which accompany strong top line growth, above average labor inflation and the dilutive impact of the CulinArt acquisition. In Europe again, again efficiencies more than offset mobilization costs. With this underlying margin improvement, we funded the cost of creating 9 business units, which will in time optimize our scale in procurement and the back office. As a result, European margins remained flat at 7.2%. In Rest of World, margins excluding Australia were flat. We're pleased that the savings from the restructuring, along with pricing and ongoing efficiencies, offset weak volumes in Brazil and in our Offshore & Remote sector. The impact of the construction cycle in our Australian business reduced margins in Rest of World as a whole by 50 basis points. Restructuring costs for the group were GBP 25 million in the year for a total GBP 51 million over the 2-year program. And with the benefit of corporate overhead leverage, margins for the group were flat pre- and post-restructuring.
 Let's now look at FX, which as you know has a translation impact only. Currency movements due to the weakening of sterling against most of our major currencies benefited operating profit in the year by GBP 72 million. If current spot rates were to continue into 2017, FX would benefit full year 2016 operating profit by GBP 194 million. To give you a sensitivity, a 1% move in sterling against all of our trading currencies would change 2016 operating profit by around GBP 13 million. And all details regarding FX sensitivities can be found in the appendices to the presentation.
 Moving on to the bottom half of the income statement, net finance costs were GBP 101 million, in line with last year. We expect 2017 net finance cost to be around GBP 110 million, reflecting the impact of the weakness of sterling on our foreign currency borrowings. The underlying tax rate was 24.5%, also in line with last year. In May, I mentioned that changes to international tax rules from the OECD BEPS project could impact our tax rate going forward. Parts of this have become effective in the recent U.K. Finance Act. As a result, our 2017 tax rate will increase by around 100 basis points. We expect the tax environment to remain uncertain. Constant currency EPS grew by 7.8% to 61.1p, and we propose to increase the dividend by the same amount, in line with our policy. 
 Let's now look at operating cash flow. Depreciation and amortization increased by GBP 55 million due to our investments in CapEx and GBP 20 million of currency movements. Gross capital expenditure was 2.9% of revenues, and we expect 2017 CapEx to be similar to this year. Working capital in 2016 was better than expected. Some underlying improvements and some timing differences offset the expected GBP 70 million payroll-related outflow in the U.K. and U.S. We continue to focus on improving working capital and expect a small outflow next year. Operating cash grew by 8% and operating cash conversion increased to 89% as a result of the good working capital performance.
 Looking at the nonoperating components of free cash flow, post-employment benefits were GBP 39 million. This was lower than in 2015 because of one-off payments made into the U.S. plan last year. We have just completed our triannual valuation of the U.K. defined-benefit plan, which is now in a funding surplus. We have therefore agreed with the trustees to stop the cash contributions. We expect total group contributions to pension plans to be around GBP 20 million going forward. The cash tax rate of 18% benefited from changes in legislation in North America. In 2017, we expect the rate to be between 20% and 23%. We made good progress in free cash flow generation. At 63%, our conversion was slightly above our target range due to the better-than-expected working capital and cash tax performances. We continue to focus on cash, and we expect free cash flow conversion to be within our target 55% to 60% range next year.
 Our priorities for uses of cash are unchanged. We continue to be excited by the structural growth opportunity in our sector and invest in the business via CapEx and M&A to support our long-term growth ambitions. We're also committed to returning significant cash to shareholders through our policy of growing dividends in line with constant currency earnings. We will maintain a strong investment-grade credit rating, and we will continue to target a full year net debt-to-EBITDA ratio of around 1.5x. We will do this by returning surplus cash to shareholders through share buybacks or other means. 
 So looking now at the balance sheet, and again, starting on the left of the chart, opening net debt was GBP 2.6 billion, and the business generated cash of GBP 1.5 billion before CapEx. We reinvested GBP 729 million to support our long-term growth, GBP 549 million in CapEx and GBP 180 million on M&A, principally the acquisition of CulinArt. We also returned GBP 596 million to shareholders: GBP 496 million in dividends and GBP 100 million in share buybacks. And finally, FX was GBP 395 million. Net debt-to-EBITDA was 1.6x due to the significant shift in FX rates in the fourth quarter of the year. I've pulled together all of our 2017 full year assumptions on one page as reference for your modeling. 
 And so in conclusion, we delivered another strong year. And I'll now hand back to Richard. 
R. Cousins: Thanks, Johnny. We continue to be rewarded for our focus on organic growth. New business wins were at 8.8%, driven by strong performances in most countries. Lost business was 5.9% and like-for-like revenue grew by 2.1%, reflecting sensible price increases. Modest volume improvements in North America were largely offset by negative volumes in Rest of the World. As a result, organic revenue growth for the year was 5%.
 We remain focused on margins. This year, we faced cost inflation, especially labor in Europe and North America, volume declines in Offshore & Remote and Brazil and mobilization costs. We also reinvested in the business to support our organic growth, and created 9 regional business units in Europe. And we kept margins flat by continuing to focus on efficiencies, overhead leverage and appropriate price increases.  
 North America, the group's core growth engine, continues to perform exceptionally well. Organic revenue growth was 8.1%, driven by strong new business, high retention and good like-for-like revenues in most sectors. The North American business continues to be very exciting, given a large structural growth opportunity in this vast and dynamic market. Our strategy of sub-sectorization, where we divide the business into smaller segments, is working. We have sharpened our offer and are driving broad-based growth across all sectors, except DOR. This approach, combined with the cost advantage of our scale, is making our growth in North America more diversified and sustainable over the long run.
 Performance in Rest of the World continues to be a bit mixed. Our businesses in B&I, Healthcare, Education, and Sports & Leisure, which accounts for over 60% of the region, performed reasonably well. Good growth in New Zealand, India and Spanish-speaking Latin America was partly offset by continued weakness in Brazil and as a result, revenue increased by 3.6%. Our Offshore & Remote business continues to be challenging due to the overall weakness in commodities. The restructuring program we announced in 2015 is now complete. We have adjusted our cost base and are now well-placed to compete in these new market conditions.
 In the early years of this decade, high commodity prices contributed to both high levels of output and site construction activity. With big double-digit growth in our Offshore & Remote business, maybe we were spoiled. As you can see, the trend has turned. In Australia, iron ore and LNG construction projects are ending and are not being replaced with new ones. Chile has been impacted by lower copper prices, and our oil and gas businesses have been challenging around the region. At some point, this will stabilize, but 2017 will continue to be another tough year.
 We're pleased with our progress in Europe. Even though H2 was slightly slower, revenues for the year were up by 2.8%, the highest growth rate we have seen since 2008. New business wins were strong, and we are improving retention. However, trading in the North Sea and France remains challenging. Efficiencies generated throughout the business more than offset mobilization cost and the impact of weak volumes in oil and gas. This allowed us to fully offset the cost of creating business units to strengthen our position in the region.
 At our investor seminar back in June, we talked about our plans to replicate the key elements of our North American business model in Europe. The senior teams are in place, and Europe is now managed in 9 sub-regional business units. This new structure will allow us to leverage our scale in procurement, lower our back-office cost and speed up the sharing and implementation of best practice. And over time, it will result in more consistent top line growth and margin improvement.  
 What about the future? Well, our strategy is clear and unchanged. Food remains our core competence, and we take a cautious and incremental approach to support services. Our priority is organic growth, and we will only do bolt-on M&A if there are attractive targets. Finally, we focus on best-in-class execution, where we combine the cost advantage of our scale with a focus on quality and innovation. The contract foodservice market is estimated to be more than GBP 200 billion. There's a large structural opportunity for growth given that over 80% is still operated by either in-house providers or regional players. 
 I've talked about how we're increasing our focus on innovation. Let me take you through a few more interesting examples from around the world. This year, Fortune Magazine listed Compass as 1 of the 50 companies that change the world in recognition of the work we're doing to encourage our consumers to eat in ways that are healthy for them and more sustainable for the environment. In vending, we continue to evolve our offer, now providing more premium products and artisan coffees. We now have a nano market solution for smaller spaces and we're rolling out a smartphone app to expediate mobile payments. In the U.K., we're piloting a system that increases the speed of service by allowing consumers to preorder, prepay and self-checkout, and in Canada, we're using our digital hospitality platform, which pulls together various data streams that include data analytics, consumer feedback and social media, to improve our understanding of buying behaviors.
 Even though we are more focused on innovation, our core business model remains clear and unchanged. Top of our agenda is organic growth, and we continue to put more focus and resources behind both MAPs 1 and 2, driving new business and retention and consumer sales. Our obsession with cost -- that's MAPs 3, 4 and 5, food, labor and overheads -- is never ending, and there is still considerable opportunity to improve margins. We invest as required to support growth and create value for our shareholders by delivering a balanced package of EPS growth, a strong and progressive dividend and return of surplus capital where that's appropriate, either via share buybacks or other means. It's a proven and sustainable model.
 And so to summarize, it's been another strong year. Our business in North America is in great shape. The restructuring in the rest of the world is complete, and we're making good strategic progress in Europe. We continue to return cash to shareholders and remain focused on strong growth with discipline. Our expectations for 2017 are positive, with a weighting to the second half. And we remain excited about the structural growth opportunities in the business.
 Thank you for your time and attention. We're happy now to take questions, and in the normal way, I'd be grateful if you would wait for the microphone, and give your name and company that you represent. 
R. Cousins: Okay. Who's going to go first? Vicki, I think you just won. 
Vicki Lee: It's Vicki Stern from Barclays. Question just on Rest of World. You talk about another tough year, probably ahead in that division. How do you think about margins there? Are you fairly confident that you could hold things sort of better than in 2016? And I suppose what would it take for you to require another restructuring program in that region? 
Jonathan Thomson: Yes, I think as I said earlier, our margins in the Rest of the World went back by 50 basis points in '16. I think we've done a lot of hard work in the last 2 years on the restructuring as you can imagine. So I think we feel as if we are in a good position going into '17. Most of the businesses are now at least flat margin going into '17, Australia is still challenging for the obvious reasons around the construction cycle. However, I think we feel we are in a good position now to get close to flat margins year-on-year -- perhaps not quite there, but close to it, maybe minus 10 basis points would be a reasonable assumption. At this stage, Vicki, I don't think we assume doing more restructuring. It's now about ongoing efficiencies within the normal course of business. 
R. Cousins: Jamie? 
Jamie Rollo: Jamie Rollo from Morgan Stanley. Just a question on Europe. With the Q4 sales around sort of 0, quite a sharp slowdown from the 3.7% at the 9-month stage. Could you just try and call out some of the items that were behind that, you mentioned France, comps in the U.K., and contract exits. And what gives you the confidence that, that growth rate will actually accelerate in fiscal '17? 
R. Cousins: Yes, no, it's a good question. We would expect Q1 to be similar -- maybe even a fraction worse, not sure, but we've analyzed the pipeline to death, and we feel increasingly positive about H2 in Europe. The biggest business in Europe clearly is the U.K. Sometimes win rates can be a bit lumpy. Our win rates in the U.K. have been very strong, but they mainly come on stream in our second half. So we would be quite bullish that the U.K. will see a sharp accelerating -- acceleration through 2017 but Q1, H1 will be down. 
Jamie Rollo: And what about the contract exits? 
R. Cousins: Contract exits, there's a few closures where -- some in the North Sea, some in Denmark, some in the U.K. where clients have closed sites. And we take that as a retention hit, clearly not our fault. Okay? 
Richard Clarke: Richard Clarke from Bernstein. Two questions for me please. Just with all the political changes we've seen around the world, those that have happened and perhaps those to come, are you seeing any kind of caution from any of your clients in getting new business coming through and is that reflected in your 4% organic growth for next year? And then secondly, just on dividend policy. Your policy is to grow in line with constant currency growth. If my calculations are correct, that will put your payout below 50% next year because you'll grow faster. Any plans to change that dividend policy with the exchange rates? 
R. Cousins: Okay, well, in terms of the divi, you win some, you lose. When sterling was strong, our dividend cover drifted down to about 1.8x, I think, 1 year, and who knows maybe it will be a fraction above 2x next year. So I think for the moment, we're comfortable with our policy. In terms of the political situation, who knows? In terms of the U.S., I have to say our pipeline for the U.S. looks really excellent. We would be really quite bullish about 2017. The U.K., maybe we saw a little bit of a slowdown in decision-making over the long summer with a pro ana for the referendum in a sense that has perhaps contributed to our H1, H2 weighting in 2017 because decision-making, I think, was a bit slow. I think in the end, we don't get too excited about short-term political noise. This is a very low-risk business, spread across 50 countries, 40,000 sites with great balance across each of our sectors. So I think people are going to eat, people continue to outsource. I think we'll do as well as most. 
Tim Ramskill: It's Tim Ramskill from Crédit Suisse. Can we just come back to Europe, please? I guess, Richard, in terms of the restructuring you've put in place there, you talked both about growth and margin but which of those opportunities do you think is the greater or which excites you more? And then just related to that, just a point of clarification in terms of the exits in Europe, you mentioned it's -- quite a lot of it's been due to closures rather than sort of lost business. On the lost business side, is there any change in the dynamic or has that been consistent? 
R. Cousins: No, in terms of retention rates in Europe, they continue to inch up. As you know, they are structurally lower than North America and always will be, but I think we're quite pleased with progress in terms of European retention. In terms of the growth margin, Johnny, do you want to comment on that? 
Jonathan Thomson: Yes, I think we feel positive about both actually, Tim. Don't mean to hedge the bets here, but I think the creation of the business units helps us to fast forward on the implementation of the best practices, principally from North America. So that process has started that we feel it can accelerate. I think over the next 2 or 3 years, as the structures solidify and as we get better systems in place, we can then start to drive out better efficiencies through overhead leverage and better procurement. So I think it's a story of both, to be honest. 
R. Cousins: At the very front there, yes? 
David Phillips: David Phillips from Redburn. Could I ask a couple? Start on Slide 29 and your innovation investment in the customer experience, could you put an absolute number on how much you spend in sort of run rate in a year on these new initiatives at the moment? 
R. Cousins: No. 
David Phillips: Ballpark? 
R. Cousins: We debated that long and hard about 18 months ago, when we started putting more focus behind innovation, how do we measure the cost, how do we measure the benefits, and concluded that it would become a bureaucratic industry. So no, I don't think we can give you an intelligent number. It's not huge, but no. 
David Phillips: Okay, and the second one, I heard you say sort of in the past that the element of choice that ObamaCare brought to catering in hospitals was a positive for you. Are your guys on the ground feeling that, that innovation is here to stay or is there a risk that it could be victim to changes? 
R. Cousins: I think whatever the new President does with healthcare, it seems to be creating instability, and however you look at it, that means hospitals are going to drive out costs. So I think we've done well from ObamaCare. Our pipeline in Healthcare is very strong, and we would be bullish that, that momentum will continue as far as we can sensibly see. 
James Ainley: It's James Ainley from Citi. Can I just ask about the M&A environment? A couple of your competitors have been doing a few more deals. Can you talk about what you're seeing in terms of sellers' expectations in terms of multiples and whether you might be more ambitious this year on M&A? 
Jonathan Thomson: As you know, we've been relatively cautious. We haven't spent a great deal on M&A over the last 5 or 10 years. Our average is somewhere between GBP 100 million to GBP 200 million. We obviously did a very exciting deal, CulinArt in the U.S. this year, which was great, and as we look forward, I think we would expect to do similar levels, GBP 100 million to GBP 200 million, small bolt-ons, North America; maybe a fraction more in Europe. So nothing's really changed from that perspective and I don't think we see the pipeline as being materially different either. 
R. Cousins: It's very difficult for us to answer your question on multiples and so on because we tend to buy private companies. Our model is to build relationships with people. You don't necessarily get businesses at the lowest price but you get good businesses, you get buy in from the management, continuity I think is important. So I think we would struggle to give you any yardstick for multiples. 
Jarrod Castle: It's Jarrod Castle from UBS. Just looking a little bit ahead to 2019 when the new lease accounting kicks in, will that have any impact on the way you look at the balance sheet in terms of capitalizing minimum lease payments? 
Jonathan Thomson: Well, there will be around about GBP 500 million or GBP 600 million, around about that, that will come on to our balance sheet from leases which I think brings us into the way that the rating agencies would measure our balance sheet anyway. So other than that, I don't think there's any particular changes. 
R. Cousins: Any more questions, please? On the telephone lines, we've got thousands of people. None of them want to ask a question? Oh, we have another one from Tim. 
Tim Ramskill: Tim again from Crédit Suisse. Just coming back in terms of the U.S. sort of growth opportunities. I guess it's probably -- maybe correct me -- 2 or 3 years ago since you landed a couple of really very significant contracts and talked at the time about both the Healthcare and Education sectors in terms of more opportunities like that. Just maybe an update on whether any of those has been landed and how you think about that. 
R. Cousins: Yes, our pipeline for those sort of mega contracts is underwhelming. Our pipeline for midsize contracts is the best it's ever been. So actually, we're really content with the way it's going. You rightly said the 2 mega contracts, one was in higher ed and one was in Healthcare. Healthcare in particular is strong, Education is about average in North America in terms, which is still very good. We're very comfortable with winning lots and lots of midsize contracts. 
David Phillips: David Phillips at Redburn again. A follow-up on Foodbuy and Foodbuy Europe, could you give us a run rate for what you think gross purchasing will be in 2017 and how much of that will be third-party, please? 
R. Cousins: Foodbuy Europe is probably only about GBP 200 million. It's quite small. I mean, if you compare it to the U.S. where in total, we're buying or tracking about $20 billion, which clearly is a very significant operation, Europe is small, but we think the direction of travel is clear. We've made one acquisition in the U.K. a couple of years ago and a small one in Holland recently. We like the business model, and we think we will quietly grow it. 
Jarrod Castle: It's Jarrod Castle again. I guess coming back to Vicki's question just in terms of restructuring, if you look a bit further ahead, 3 to 5 years out, is there any big initiatives that would actually result in some form of restructuring or is it just kind of MAP program from now on? 
R. Cousins: As we stand today, I think that's quite a difficult question to answer today. 
Jonathan Thomson: Nothing that sits right in front of us that would cause us to think of restructuring but of course, you would expect us to say that things change very quickly in this world. 
R. Cousins: I think what's ongoing is our obsession with cost. I think the moment we say to you, we're bored of costs and we're just going to sit back and congratulate ourselves, then we're toast. The mood in the business is very healthy, I think, very humble, and we remain really cautious, and therefore, keep driving away at costs. So we only do restructuring when big events happen. God, there's loads more questions. 
Jamie Rollo: Jamie Rollo again. Can I ask about tax? Is that 100 basis points increase? You mentioned FX rates in the release. Is that just a mix of U.S. going up or is something else there? And what could that 25.5% go to worst case, let's say, in a few years' time? 
Jonathan Thomson: The increase of 100 basis points is fractionally to do with FX, but mostly to do with the Finance Act and passing BEPS and how that affects the group. So I wouldn't read too much into the FX point. Going beyond 2017, I'm not going to give any guidance because as I said, things remain very uncertain. There's proposed legislation out there which, if passed, could make further changes to our tax rate. So at this stage, I can't give you any guidance, Jamie. 
Jamie Rollo: But it could stay flat beyond 2017 or will it definitely go up, do you think? 
Jonathan Thomson: Who knows. Who knows. 
R. Cousins: Jeffrey? 
Jeffrey Harwood: Yes, Jeffrey Harwood from Stifel. As we look at the prospects for margin improvement this year, would I be right in saying that most of the improvement's going to reflect the elimination of the restructuring costs of GBP 25 million, that figure dropping out of the equation? 
Jonathan Thomson: I think that's right. We will see that, of course. But I think on top of that, you should expect a small amount, a modest amount of margin improvement across the group on an underlying basis to, say, a handful of bps, maybe mid-single digits. 
R. Cousins: If you compare 2017 with 2016, in 2016, we've obviously seen 5% revenue growth and flat margins. In 2017, revenue growth will be a bit slower, still north of 4%, we think. But we're quite bullish that margins will move nicely forward. 
 Okay, any questions on the telephone? Any more questions? Thank you, everybody, for your time. Have a good Christmas. 
Jonathan Thomson: Thank you.